Operator: Welcome to the StepStone Fiscal First Quarter 2023 Earnings Call. At this time, all participants will be in a listen-only mode. Later we will conduct question-and-answer session. [Operator Instructions] I will now turn the call over to your host, Seth Weiss, Head of Investor Relations. Mr. Weiss, you may begin.
Seth Weiss: Thank you, and good afternoon, everyone. Joining me on the call today are Scott Hart, Chief Executive Officer; Jason Ment, President and Co-Chief Operating Officer; Mike McCabe, Head of Strategy; and Johnny Randel Chief Financial Officer. During our prepared remarks, we will be referring to a presentation, which is available on our Investor Relations website at shareholders.stepstonegroup.com. Before we begin I'd like to remind everyone that this conference call as well as the presentation contain certain forward-looking statements regarding the company's expected operating and financial performance for future periods. Forward-looking statements reflect management's current plans estimates and expectations and are inherently uncertain and are subject to various risks, uncertainties and assumptions. Actual results for future periods may differ materially from those expressed or implied by these forward-looking statements due to a number of risks or other factors that are described in the Risk Factors section of StepStone's most recent 10-K. These forward-looking statements are made only as of today and except as required we undertake no obligation to update or revise any of them. In addition, today's presentation contains references to non-GAAP financial measures. Reconciliations to the most directly comparable GAAP financial measures are included in our earnings release, our presentation and our filings with the SEC. Turning to our financial results for the first quarter of fiscal 2023. We reported a GAAP net loss of $21.5 million for the quarter ended June 30, 2022. The GAAP net loss attributable to StepStone Group Inc. was $11.0 million. We generated fee-related earnings of $36.6 million, adjusted net income of $47.1 million and adjusted net income per share of $0.41. The quarter reflected retroactive fees resulting from the final closing of StepStone's private equity co-investment fund that contributed $2.4 million to revenue and $2.2 million to fee related earnings and pretax adjusted net income. This compares to retroactive fees in the first quarter of fiscal 2022 that contributed $0.9 million to revenue and $0.8 million to fee-related earnings and pretax adjusted net income. I'd now like to turn the call over to StepStone's Chief Executive Officer, Scott Hart.
Scott Hart: Thank you, Seth, and good afternoon everyone. We delivered another robust quarter of earnings, fundraising and growth in fee earning assets as we kicked off our 2023 fiscal year. Our strong performance comes despite what was one of the most challenging periods for public equity and fixed income markets in the last two decades. These results exemplify the strength of StepStone's platform and the resilience of our business model. As I think back to our September 2020 IPO road show, which took place just six months into the pandemic, the resilience of our business model was a major focal point. While there are notable differences between the current environment and the COVID driven market correction, the stability of our model remains relevant and is largely driven by three factors; one, our exclusive focus on the private markets with a dedication to customized offerings; two, our diversification; and three, our visibility into future earnings and growth. I'd like to touch on each of these topics. First, we are exclusively focused on the private markets, which have historically generated stronger performance and weathered volatility better than their public equivalents. As a result, private market allocations have continued to grow over time, representing a larger percentage of the overall portfolio for experienced investors while also attracting new LPs. While we and our clients have benefited from the favorable market conditions in recent years, the value of our service has become especially apparent during times of stress. Over the last several years we operated in an environment in which investors were often rewarded simply for deploying capital into a rising market. Going forward, there will be more differentiation in performance and we believe that disciplined portfolio and risk management, data-driven manager and investment selection and access to cost effective private market strategies will be the determinant of success. These are all areas that we work in partnership with our clients and where the StepStone platform is well-positioned to add value. Second, StepStone's diversification is a significant differentiator and gives us the flexibility to navigate through challenging markets and capitalize on new opportunities as they arise. Even in a shifting environment there are few challenges that our clients face in their private markets portfolios that we cannot help them address as a result of the comprehensive toolbox we have built over the last 15 years. Our platform spans across avenues for investment, geography and client type. Our diversification by asset class and strategy allows us to weather economic headwinds better than more concentrated managers. For example, the inflation protection embedded in real estate and infrastructure and the liquidity offered by secondaries are in high demand in today's environment. We offer leading solutions in all three areas, which are significant drivers of LP capital inflows today. Furthermore, we are consistently investing for our clients through cycles, which produces strong vintage diversification. Experienced LPs who pulled back after the 2001 and the 2008 market dislocations are keenly aware of the value of investing through market troughs and understand that these are often the best performing vintage years. Geographically, we have a very wide reach with nearly 70% of our last 12 month’s management and advisory fees and approximately 80% of our fundraising coming from outside North America. The international market has ample room to grow, as allocations are rising and new pools of capital are coming online. In addition to geography, our client roster spans a range of investor type and size from the individual investor to some of the largest pension and sovereign wealth funds in the world. At the core of our value proposition, we recognize that each client has unique needs and portfolio goals in the private markets. While some of our clients are undoubtedly impacted by allocation limits and pressures from the denominator effect, we also have clients that are just starting to build a private markets portfolio or are actively increasing allocations or accelerating the pace of deployment. Third, we have extremely strong visibility into our future earnings. The vast majorities of our management fees are contractually tied to committed or invested capital and are therefore not impacted by market fluctuations. Over 80% of our management fees come from accounts that have a remaining tenor of three or more years, and over 50% come from accounts that have a remaining tenor of seven or more years. Our clients tend to be very persistent even well beyond their contractual commitments. Our re-up rate on SMA capital since inception is over 90%, with an average increase in account size of over 30% on renewal. Furthermore, we have over $17 billion of dry powder that will allow us to tactically capitalize on the more attractive pricing environment and which will contribute to our fee-earning assets as we deploy capital over the coming years. This un-deployed capital alone represents over 20% growth potential to our current fee-earning assets. While there may be fluctuations from quarter-to-quarter combined these factors provide tremendous earnings stability and contribute to the long-term earnings power of the business without even accounting for any new business development. Moving on to our first quarter results on slide 5, we generated $47 million in adjusted net income for the quarter or $0.41 per share which is the same as the prior fiscal year's first quarter. Looking over our trailing four quarters, we have generated $1.62 of adjusted net income per share which is up 45% from a year ago. Included in the quarter were $74 million of gross realized performance fees and $32 million of net realized performance fees which represents our highest gross and third-highest net realized performance fees on record. Johnny will speak to carry dynamics in more detail. We generated fee-related earnings of $37 million, up 58% from the prior year quarter as we produced strong organic growth and benefited from the Greenspring acquisition. Accounting for the increase in our share count, we grew fee-related earnings per share by 39%. The integration of Greenspring is progressing well. We continue to be strong believers in the innovation economy and the power of technology. Our ability to provide solutions across the venture life cycle is evident through the successful recent closings of our micro fund which has raised over $230 million to-date; our VC direct fund which has raised nearly $850 million; and the final close of our VC secondaries fund which raised a total of $2.6 billion and is the largest venture secondaries fund in the market today. Shifting to assets under management, we produced another strong period of asset growth, finishing the quarter with approximately $137 billion of AUM and nearly $79 billion of fee-earning assets. Excluding acquired assets, we have organically grown fee-earning AUM by over $14 billion in the last 12 months generating consistent and balanced growth across asset class and commercial structure. I'll now turn the call over to Mike McCabe, to speak about our asset growth and fee-related revenue growth in more detail.
Mike McCabe: Thanks Scott. Turning to slide 7, we generated $24 billion of gross AUM inflows in the last 12 months with $7 billion coming from our commingled funds and $17 billion in separately managed accounts. Slide 8 shows our fee-earning AUM by structure and asset class. For the quarter, we grew fee-earning assets by over $3 billion. We are well positioned to grow through market cycles and this quarter's results, serves as a continued proof point of our business model. While individual managers may experience fundraising pressures a multi-manager platform like ours diversified by geography, asset class and strategy casts a much wider net. This was a balanced quarter for growth in fee-earning assets with approximately 60% of the growth coming from infrastructure, real estate and private debt. Demand for real assets continues to be extremely robust as the inflation protection embedded in the underlying investments are driving strong capital formation and generating positive absolute investment performance. This was our best period for growth in real estate, since the fiscal second quarter of 2021 driven by significant re-up activity. As Scott mentioned, secondaries investments are a particularly compelling strategy in today's market. As a leader in the secondaries space, we can play both offense and defense for our clients as we help them navigate these challenging markets. We have a multibillion-dollar arsenal of dry powder in our newly raised venture secondaries fund, our private equity secondaries fund and our real estate secondaries fund and within separately managed accounts across all four asset classes that we will deploy as investors look to reposition their portfolios or seek liquidity. The prospect for continued growth remains strong as investors look to the secondaries market as both a viable entry and exit point. Moving to growth by commercial structure, commingled funds contributed about $800 million of net fee-earning assets driven by final closings in our VE co-invest fund which raised a total of $2.4 billion; our VC secondaries fund which raised a total of $2.6 billion. And our two credit funds which raised a combined $1.9 billion. Each of these funds surpassed their prior vintages and exceeded our targets, highlighting the resilient and growing demand from our clients. Looking at gross AUM additions, total commingled fundraising for the quarter was nearly $3 billion, our best quarter ever. In addition to the previously mentioned closings we had successful fundraises across our Venture Capital Opportunities Fund and our VE secondaries fund. We anticipate activating fees on these funds later this calendar year. We also recently launched our first infrastructure commingled fund which will be focused on co-investments. We expect to execute our first closing on this fund near the end of this calendar year. This commingled fund expands access to the infrastructure asset class to a wider group of investors. With this new product we now offer commingled funds across all four private market asset classes. Moving to separately managed accounts we generated $2.6 billion of fee-earning asset growth driven by re-ups and deployments. Looking over the last 12 months and excluding the impact from acquisitions, we have organically grown fee-earning assets by over $14 billion or 27% which is generally consistent with the 30% organic CAGR since fiscal 2018. We continue to see strong results from our evergreen product CPRIM our private market fund for accredited investors. As of July 1st we have grown CPRIM to approximately $650 million of net asset value and have delivered a 78% total return since inception. We continue to make progress across all distribution channels. Our undeployed fee-earning capital stands at over $17 billion slightly higher than last quarter. We were able to maintain this level, despite deploying nearly $3 billion from this balance as a robust fundraising replenished our dry powder. Slide 9 shows the evolution of our management and advisory fees, where we are generating nearly $3.80 per share in revenues over the last 12 months, representing an annual growth rate of 25% since fiscal 2018. As a reminder over 80% of these fees come from accounts that have remaining tenor of three or more years. We generated a blended management fee rate of 54 basis points which is slightly higher than the prior year due to a mix shift toward commingled funds from the contribution of Greenspring. I'll now turn the call over to our CFO, Johnny Randel. 
Johnny Randel: Thank you, Mike. I'd like to turn your attention to Slide 11 to speak to a few of our financial highlights. For the quarter we earned management and advisory fees of $117 million. The strength in revenue was driven primarily by continued growth in fee-earning assets. Profitability remains strong as our FRE margin expanded to 31% for the quarter up approximately 200 basis points year-over-year but down slightly versus the prior quarter.  We benefited from retroactive fees in the quarter which contributed 130 basis points to the FRE margin. For comparison, retroactive fees contributed 70 basis points to the FRE margin in the year ago quarter and contributed 170 basis points last quarter. Excluding the impact from retro fees our margin was up over 100 basis points year-over-year and was essentially flat to the prior quarter. Shifting to expenses compensation was up versus the prior quarter as we continued to invest in our teams. We have also seen sequential increases in travel and marketing driving increases in our G&A expense. As we think about the near-term trajectory of expenses, we expect further increases driven by higher compensation and occupancy costs as we grow our team. We see a pathway for continued long-term sustainable growth and we are investing to position ourselves accordingly. Over the last few quarters, we have commented that we view a near-term FRE margin of about 30% as reasonable with some variability quarter-to-quarter based on the timing of expenses and the cadence of large commingled fund closings and activation of fees. This might mean that we dip below 30% in certain individual quarters but we still expect that we will generate an FRE margin of about 30% for this full fiscal year. We anticipate expanding our margins to the mid-30s over the longer term as we balance profitability with sustainable growth. Gross realized performance and incentive fees were $74 million for the quarter which is our highest quarter ever. We benefited from transactions that were announced in 2021 and we also benefited from some realization activity outside of private equity. Factoring in compensation net realized performance fees were $32 million for the quarter. Capital markets have become more challenging in recent periods. So, we anticipate some downward pressure on realizations over the next few quarters. As a reminder we do not typically control the timing of exits. Moving to Slide 12, we grew adjusted revenues per share by 20% year-over-year driven primarily by 29% growth in per-share management and advisory fees. Speaking to longer-term growth, adjusted revenues per share has grown by a 32% compounded annual growth rate since Fiscal 2018. Shifting to our profitability on Slide 13, we grew fee-related earnings per share by 39% year-over-year. The increase was driven by growth in management and advisory fees and by margin expansion. Looking over the longer term, we have a CAGR of 47% in fee-related earnings per share since fiscal 2018. Our ANI per share was flat when compared to last year's first quarter as we saw strong growth in FRE per share. Net performance-related earnings were relatively flat in dollar terms, but were down on a per-share basis, due to the issuance of shares to complete the Greenspring acquisition. Looking at the longer term, ANI per share has grown at a 42% CAGR, driven by robust growth in both FRE and realized net performance fees. Moving to the balance sheet on slide 14, gross accrued carry finished the quarter at approximately $1.4 billion which is $115 million lower than the previous quarter. The majority of the decline was driven by record gross realizations in the quarter. Our accrued carry balance has increased more than 27% over the last 12 months, despite a record period of realizations and pressure on underlying valuations. As a reminder, our accrued carry balance is marked on a one-quarter lag, so recent market pressure may impact next period's reported balance. Our owned investment portfolio ended the quarter at $108 million, up 1% from the prior quarter and up 30% over the same quarter in the prior year, reflecting both market appreciation and net contributions. Unfunded commitments to these programs were $82 million as of quarter-end. Our pool of performance fee-eligible capital has grown to $58 billion and this capital is widely diversified across multiple vintage years in 160 programs as of June 30. 64% of our unrealized carry was tied to programs with vintages of 2017 or earlier, which means that these programs are largely out of their investment periods and have entered harvest mode. 61% of this unrealized carry is sourced from vehicles with deal-by-deal waterfalls meaning realized carry may be payable at the time of investment exit. This concludes our prepared remarks. I'll now turn it back over to the operator to open the line for any questions. 
Operator: [Operator Instructions] And first question comes from Michael Cyprys from Morgan Stanley. Please go ahead, Michael.
Michael Cyprys: Great. Thanks, so much for taking the question. I hope you guys are doing well. Maybe just start off on secondaries. You mentioned in the prepared remarks that there's an opportunity to help LPs in the marketplace reposition portfolios. So, I guess the question is how would you characterize the level of activity that you see there today and the level of dialogue? How do you see that relative to the opportunity set that you think may emerge? And maybe you could talk a little bit about, how you expect and see this playing out as you look forward over the next 12 months in other -- maybe remind us if there are certain parts of the secondaries marketplace where you tend to play versus others and other places where you tend to maybe shy a little bit away from. 
Scott Hart: Sure. Thanks, Mike for the question. This is Scott. So, look, as we started to hint at even last quarter, we do see the secondaries opportunity emerging as an important one from both an investment standpoint, but also as a portfolio construction tool for our clients. I think we really have seen that play out over the last couple of quarters. If you look at some of the market statistics for the first half of 2022, depending on which stats you're looking at deal volume was up anywhere from 10% to 20%. And unlike the last couple of years, the key driver of that was LP secondaries as opposed to GP-led secondaries which as we've all talked about has been a key driver of growth over the last several years. I would say, we saw a similar trend in our own deal flow in the first half of the year. Volume in both the LP secondary and the GP-led secondary market was up pretty significantly in terms of what we saw. But obviously just given the quality or perhaps the uncertainty that exists ahead of June 30 valuations coming out you can imagine that we were very selective and as a result had an even lower completion rate than what we would have seen over the last several years. And I think that sort of characterizes the type of environment that we're in here. I think there is this uncertainty that exists until we have further visibility into June 30 valuations. And I think at that point is when we would expect to see activity pick up to an even greater extent. In terms of where we play as Mike mentioned during the prepared remarks, we're active across all four of the asset classes today. We think that's a differentiator. If you think back to some of our prior commentary, our real estate team was really some of the pioneers in the real estate secondaries market. We pursued infrastructure secondaries through separate accounts. And as we've talked quite a bit about, both this quarter and last quarter, have now the largest venture secondaries fund in the market and have just held the first close on our next private equity secondaries market. But our activity crosses both the GP-led and the LP part of the secondary market. In both areas, we think that the StepStone platform brings with it pretty significant advantages from both a sourcing as well as a due diligence and an information standpoint.
Michael Cyprys: Great. Thanks. And maybe just a follow-up question. More broadly growing concerns around sticky inflation, potential recession, geopolitical risk, all of that still remains here a risk. I'm just curious, when you think about the broader private markets, what's sort of top of your wall of worry? What tail risks do you see out there? And ultimately, what sort of deployment opportunities could that lead to, or where do you think you might become most excited?
Scott Hart: Look, I mean, I think as you listed a number of the different concerns that are out there, I mean it's probably hard to pick exactly one but I do certainly think that the recession risk continues to be high on everyone's mind. If I use for an example, as we started to see rates rise our private debt team, in particular, was doing quite a bit of stress testing and scenario planning across portfolios to understand the impact, for example, of rising rates on credit quality, on interest coverage, on ratings, et cetera and found that, look, the rise in rates on its own would have somewhat limited impact. But it's the potential risk for recession and certainly those tend to be scenarios where you could then see a decline in earnings and cash flow generation, and that's certainly where you start to see more of an impact on portfolios. If we step back and think about our portfolios today, the operating performance has continued to be quite strong, strong top line growth, partially offset by inflation and margin pressure, but still resulting in growth in earnings and cash flow. It's really been more of a valuation reset that we've experienced. But if you were to experience a recession, obviously, different sectors will respond in different ways. I think that's where some of the concern lies. From a deployment standpoint, again, this is the point that we made during the prepared remarks. Many of our most experienced investors understand that, with that kind of correction comes new investment opportunities. And when you have the chance to buy companies at trough earnings and trough multiples and benefit from both, growth from the bottom as well as potential multiple expansion, yes, that's where we've seen some of the best returns historically in the private markets.
Michael Cyprys: Great. Thank you.
Operator: Our next question comes from Ken Worthington from JPMorgan. Please, go ahead, Ken.
Ken Worthington: Hi. Good afternoon. So you guys were very busy again fundraising on the SMA front. So it's been a very good second half of the year. What is sentiment like for your LPs, given the macro environment and other factors? And ultimately, what I'm looking for is, how do we think about combining your view of sentiment versus your pipeline in terms of what it means for the fundraising outlook for StepStone in the second half of the year for SMAs. Like how -- again, first half was very, very strong. How should we think about this sort of coming together in the second half of the calendar year? 
Scott Hart: Sure. I'll start Ken, this is Scott, again, and maybe others will jump in. But, look, you can imagine -- and you'll recall, during our last earnings call, just over two months ago, I think, we struck a pretty cautious tone or we think, a realistic tone on the fundraising environment and sentiment. Look, with the benefit of two additional months and many, many conversations with clients and prospects, we would say a couple of things. One, we would reiterate the comment that we've made which is that, even as you do come up against the denominator effect, it seems to us that for every conversation we're having about the denominator effect, we seem to be having another one about launching a new private markets program or accelerating deployment into a private markets program. And that certainly gives us some level of confidence. The other thing, I would say is that, even for those clients or prospects that are dealing with the denominator effect issues, after they mention the denominator effect, the next words out of their mouth tend to be. But we remember what happened after the dot-com bubble or the GFC, when we pulled back and missed out on some great opportunities. And we're not going to make that same mistake again. And so, what you see is, you've seen LPs react in a few different ways. Some have actually increased their allocations to the private markets asset class. Some, as we just talked about, in response to Mike's question, have looked to the secondaries market. And others have maybe reduced, but have certainly not stopped making new commitments. And there's a couple of different ways you can do that. You can make smaller commitments to the same number of managers, or maybe you're a bit more selective and you invest with a select group of managers. As we think about where our separate accounts lie, right, they're in areas like secondaries, like co-investments. And oftentimes what we find with clients, who have really partnered with us to launch these programs, is the last thing that you want to do is now find yourselves out of the market after you spent this time and effort establishing this program. And so, it's part of the reason that we shared some of the re-up statistics across our separate accounts, which is a key driver of that separate account fundraising activity for us.
Ken Worthington: So if I can sort of paraphrase and give you my impression back to you, it seems like -- you were definitely cautious last quarter, but you seem to be less cautious, given the two months and the dialogue you're having right now. Is that a fair interpretation, or am I sort of off the reservation?
Scott Hart: No, not off the -- look, we continue to be cautious. I think part of what got lost maybe in some of the messaging historically was, the fact that we think we've got a platform that's well suited even for the current environment. And again, that I think was behind some of the key messages in some of our prepared remarks here around the stability of the business, the strength of the re-ups and the continued growth with existing clients. 
Ken Worthington: Okay. Great Thanks, very much.
Operator: Our next question comes from Alex Blostein from Goldman Sachs. Please, go ahead, Alex.
Alex Blostein: Hey, everybody. Good afternoon, as well. Thanks for the question. So I was hoping to go back to some of the points you made around the secondary business; again, something we've been talking about for a while. Maybe just put a little bit more meat around the bones on what that actually means for StepStone's P&L and kind of how it all comes together. So the $17 billion of sort of dry powder or sort of shadow AUM that will turn on fees once deployed, can you help us frame how much of that is the secondaries business I guess outside of the commingled funds? Because I guess those will turn on fees once the investment period begins. So it feels like the deployment base in secondaries will be accelerated here. So I'm just trying to better understand how that impacts the revenue base. 
Scott Hart: Thanks Alex. This is Scott again. So look, we've never disclosed the exact breakdown either by asset class or strategy of the $17 billion of undeployed fee-earning capital. I would say that it's probably more heavily weighted towards co-investments than secondaries. More of the secondaries programs do tend to pay on committed capital. So the main part of that $17 billion that will convert into fee-earning AUM is the first closing on the private equity secondaries fund once it's activated.
Alex Blostein: Got it. Okay. And you guys plan to activate it in the back half of the year? I think I heard in the prepared remarks Q4 right? Is that still the case? 
Scott Hart: That's our current plan yes. 
Alex Blostein: Got it. Okay. And then separately just zoning in on Greenspring for a second we obviously had some questions on that last quarter. We've seen another quarter of sort of more challenging marks in some of the growthier kind of venture-based investments. How did the marks look across Greenspring's portfolio now that we're halfway through the year? To what extent do you think that could impact capital fundraising efforts for that business? 
Scott Hart: Yes. So I mean look, one as a reminder as we talked about last quarter, I would say that, again we did not acquire some of the legacy Greenspring carried interest. So in terms of how those valuations impact the realized carry we'll have limited impact there. But I think to your point the question is how does that impact track record future fundraising, et cetera? Rather than get into the Greenspring portfolio, specifically I would say across the portfolios that we manage and if we look at how venture marks came in as of March 31 and again still limited visibility on where June 30 comes out, look I'd say we generally saw sort of mid-single-digit type declines across venture more broadly. But even if you break that down by individual subsector you saw a pretty wide range of activity. Early-stage was less impacted. Late-stage, which is more tied to the public markets and public market valuations was probably down more like high single digits. And growth equity was somewhere in between. And so again recall we've got a very diversified portfolio in venture ranging from early-stage to late-stage in growth equity and everything in between and ranging across primary, secondaries and direct investments. But look the portfolio is holding up well. From a – to your question around fundraising activity continue to see quite a bit of strength there. We talked in the prepared remarks about not only the secondaries fund but the direct fund, the micro fund and are now in market with sort of the flagship global venture multistrategy fund as well. So a lot of good activity taking place across the venture and growth portfolio.
Alex Blostein: Great. Thanks very much.
Operator: Our next question comes from Adam Beatty from UBS. Please go ahead, Adam.
Adam Beatty: Hi, good afternoon, thank you. I wanted to ask about the resilience of flows. Scott, you talked about the kind of strength of new clients continuing to initiate or expand private markets programs and also about some learned experience of LPs around attractive vintages that may be in times of disruption. One thing that I didn't hear you mention forgive me if you did was the geographic footprint of StepStone. It seems to me that with some of the US maybe public pension, LPs in particular being more constrained that your more global presence might have helped with resilience of flows. Is that the case? And if you could give some details around that I'd appreciate it. 
Scott Hart: Yes. So Adam, we did make brief mention of the international mix during our prepared remarks, mentioned that really over the last 12-month period and this is consistent with the last few years, something like 80% of the AUM inflows have come from outside of the US closer to 20% from the US or North America. Look, I would step back and say – and I do think that is a source of strength for us. I would say, I'm not sure, I always totally agree with the narrative that has emerged around it just being US public pension funds, that are impacted. And I say that for a couple of reasons, one of which is, we've had some good performance here in the US, over the last couple of quarters as well including US public pension fund clients of ours, that have re-upped or expanded relationships. So again, I often find it, somewhat difficult to generalize on these topics. And I think, look the same is true, I mean outside of the US. There are certainly some investors, that are impacted by the denominator effect as well. But look we do think, that will be a continued source of strength for us. If I think about some of the legacy Greenspring funds, they've probably been more heavily weighted towards the US historically. And so certainly, one of the opportunities here is for us to introduce our global client base to our expanded venture and growth capability.
Adam Beatty: Thank you. It's a good perspective straighten out, my thinking a little bit. And then just moving on, I wanted to ask about the realized carry acknowledging that StepStone, doesn't really control that. Johnny's comments sounded like, at this point from what you can see a slowdown is ahead. So I guess the question is, how quickly could a rebound in conditions, whatever that maybe it's deal-making activity or what have you or valuations, how quickly could that kind of turn around that outlook? Would it take a quarter or two, or could it be longer than that? Thanks 
Scott Hart: Look, I think it probably does take a quarter or two, because if you even just think about the time lag between transactions, being signed and then being completed, that does tend to take a couple of quarters. And as Johnny mentioned during the prepared remarks, part of the reason that we saw continued strength this quarter, was just the pipeline of exits that had been signed up, in late 2021 and ultimately closed during this last quarter here. So I think it does take some time. I wouldn't -- I mean look, I don't necessarily expect that realizations rebound immediately to 2021, activity levels. And part of the reason I say that, as you've heard me say on past calls, really we were operating in an environment last year, when all exit routes were open: IPOs, strategic M&A, certainly financial buyers. As I think about the current environment, clearly the IPO window is largely closed. I'd say, strategic M&A has slowed. And really, if we look over the last couple of quarters it has been almost entirely sales to other private equity firms, or GP-led secondaries that have driven our exit activity. Good news, there is there's a tremendous amount of dry powder. So I expect some of that to continue, but perhaps not at elevated 2021 levels.
Adam Beatty: Got it. Makes sense. Thank you, Scott.
Operator: And at this time there appears, to be no further questions. I'd like to turn the call back to Scott, for closing remarks. 
Scott Hart: Well, great. As always, we appreciate the time and the interest in the StepStone story and we'll look forward to keeping you updated in future quarters. Thank you. 
Operator: This concludes today's conference call. Thank you for attending.